Daniel Wolfe: Welcome to 180 Degree Capital Corp.'s Second Quarter 2021 Financial Results Update Call. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. All participants are currently in listen-only mode. Following our prepared remarks we will open the line for questions.  I would like to remind participants that this recall is being recorded, and I will be referring to the slide deck that we have posted on our Investor Relations website at ir.180degreecapital.com under financial results. Please turn to Slide 2 that contains our safe harbor statement. This presentation may contain statements of a forward-looking nature to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company's filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business that could affect the company's actual results. Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin.
Kevin Rendino: Well, thank you, Daniel, and good morning, everyone. On Slide 3 is a snapshot and a summary of our Q2 2021 performance. A bit of ground hog day for us as our public performance of 5.9% or 6.8%, if you include the carry on our SMA, this growth was slightly offset by a decline in our private portfolio. In total, we grew our NAV by 1% by growing our cash and liquid securities to a record $79 million or $7.59 per share. Our public performance was up $4. 4 million on the strength of Potbelly Synchronoss, which we'll speak about in detail and Armstrong Flooring. Our largest declines in value occurred in Quantum, Sonim and Maven. We'll have more specifics on our holdings in a few minutes. Our private portfolio decline was led by HALE due to financing risk and ag volume due to terms of the new financing. Our SMA increased in value by $2.7 million and is now over $42 million at the June period. Next slide, please. Slide 4 is the look at our NAV, both before 180s existence and after. As you can see, our net asset value was in steady decline for over 4 years, and that decline literally stopped with the advent in early 2017 for our new strategy of focusing our investments on public companies with an activist approach. I think we can all agree we're in a much better place today due to our shareholders deciding to part with our old model and begin a brand new one. Our NAV is now at a 6.5 -year hot. Slide 5 shows just how successful our new strategy has been starting with just $2 a share or $20 million in early 2017, we've grown our cash and liquid securities to $78.7 million at quarter end, or as I said, $7.59 per share. Given our share price closed at roughly the same price last night, you can see how our private portfolio is being priced at 0 based on the 6/ 30 close. Slide 6 shows our discount to NAV. As you can see here, we've made some progress from where we started, but in actuality, given our cash per share is roughly our share price, the market has placed a greater discount on our private portfolio than when we started. We still have more work to do on this page to close the gap. Slide 7 is our normal sources of change in our net asset value for the quarter. And as you can see, we start with a $10.60 NAV and $0. 42 of gains in our public portfolio, attract $0.19 of losses from our marks in the private portfolio and $0. 15 of expenses, which include the $0.07 accrual for our bonus pool based on our current performance. We end the quarter at a $10.68 NAV. Year-to-date on Slide 8 shows a $2. 01 gain in our public portfolio of $0. 33 hit from our privates and $0.28 of expenses, which again includes the accrual I spoke about which is variable and 100% dependent upon our performance. If you ever wonder why we changed our strides in 2017, Slide 9 tells the whole picture. We generated $6. 43 of gains in our public portfolio, $0.91 of losses in our privates and expenses are shown here for the last 4 years. Again, ending with an NAV of 268 at the June close. Slide 10 is a look at our holdings performance for the quarter, which yielded a 5.9% return for the quarter, including -- or 6.8%, if you include the potential carry from our SMA. Let's talk about what some of the movements for individual names on Slides 11 and 12. And Potbelly reported solid results for Q1 with weekly average same-store sales exceeding in 2019 levels beginning in April of 2021. The company accelerated its expectation of generating positive cash flow to Q3 '21 with enterprise level profitability in the second half of this year. The company just reported Q2 results last week, which were solid and they pulled forward cash flow from the second half of the year to now. It's been a remarkable turnaround led by the new management team. 180 actively engaged with the management of Synchronoss about having a company focused on refinancing the expensive and restrictive outstanding preferred security. B. Riley successfully led a financing solution of common stock bond and a bridge preferred security, and we invested $10 million in the common stock portion of that financing. Daniel will have more on this later. Armstrong Flooring aided our performance by $0.09 a share, but we were very active in the name during the quarter, coming off an asset sale and improvement in the business following Q1 earnings, we became very worried about supply chain issues, increased cost for raw materials and rising shipping costs. We cut our position in half during the quarter at $5.46 per share because of this concern. And while we still believe in the long term and believe the stock will trade in the double digits, we're taking a wait-and-see approach until we're more confident these transitory supply chain issues abate. On the negative side, Quantum decreased our NAV by $0.16 as the company highlighted a shortage of a critical part required for its tape drive systems. They reported 2 days ago and once again highlighted the shortage would remain for this quarter, but begin to target some relief on this issue as early as late in the third quarter. With the stock declining by a healthy amount, we have used the current weakness to once again build up our position. Sonam is a broken piece for us. What started out as a properly time to recap at $0.75 and watching the stock double off that price following a couple of decent quarters. One issue has cropped up after another, and most of those issues were negative. AT& T walked away from purchasing 1 of Sonim's phones. The SEC extended what we thought was the end of its investigation and the company started missing financial targets. This issue for us was our inability to sell because we had a board involvement and the restrictions that are placed on us as Board members to transact in the stock. So while many that followed us into the stock at the recap price made good money in the months ahead as the stock doubled to $1.50, I feel like we were the only ones who didn't make any money and now we no longer believe in our original thesis. The position has been sold in its entirety. And while the stock was a complete fail, the good news is we lost just $1.3 million along the way. Part of that was because of our cell discipline to move on when we're wrong, but also because when we buy anything, we're always looking to minimize the downside by adhering to a strict valuation process on entry. Slide 13 shows our performance year-to-date for all of our holdings, big games in Alta, Armstrong, Maven, Potbelly and Synchronoss. I always say, if you're right 2 out of 3 times, you'll have a nice career as an investor, as long as the 1 time you're wrong doesn't outweigh the 2x that you're right. For us, this year through June has been a home run for our shareholders. 15 of our 16 holdings have been up this year and have shown positive performance with Sonim being the only 1 loser. Slide 14 is our performance for our entire history, 27 winners and 5 losers. The biggest win are showing gains were Adesto, where we made $14 million; Potbelly, $5 million; Quantum, $9 million; and the Street, $7 million. Many others were up north of $3 million. And the great news here is that isn't 1 loser on the pace that has cost us $2 million. We generated a good batting average and an even better slugging percentage as we like to say, let your winners win and cut your losses and you'll be okay in this business. With all that, we have a 44.5% gross IRR since we started. Slide 15 is a bar graph depiction of how when we have won, we've won big. And when we've lost, we have been able to contain those losses. Slide 16 is our scorecard, a very good quarter, a very fine year and as you can see, outsized returns on both the 3-year and inception to date look. We have done what we hoped we were going to do when we started back in 2017. Flipping to Slide 17, we show the contribution of our gain based on our sectors. As you can see here, we generated good performance from our consumer discretionary names and material companies and not a lot of losses to speak of. Slide 18 shows the dramatic change in our balance sheet since we started. Our cash and liquid securities now represents 70% of our entire asset base, and that does not include the $40 million that we manage for our SMA. You know I'll never be satisfied until the great portion of that pie chart equals zero. We have made progress and to think we have nearly $80 million in permanent capital versus the starting point of '20. 180 Degree Capital is in very fine shape and has a rosy future ahead, if we can continue to execute by buying the right public securities. Daniel?
Daniel Wolfe: Thank you, Kevin. Please turn to Slide 19. I'm now going to discuss a couple of companies that we have built core positions in during the quarter, the first being PFS Web. We began building our position in PFS Web in Q1 2021, but it became a core position in Q2. PFSW is a company that manages the consumer shopping experience for major branded manufacturers and retailers throughout 2 business segments: LiveArea professional services and PFS operations. LiveArea provides a comprehensive set of digital agency services to support, develop and improve customer experiences, both online and in-store. PFS operations provides services to support or improve the physical post-click experience such as logistics and fulfillment, customer care, distributed order orchestration and payment services. We've followed PFSW for a number of years, but honestly, we couldn't build an investment thesis that we believe in, given our concerns with the company's long-term value potential. During the early phases of COVID-19 pandemic, PFSW faced headwinds in its business driven by a quarantine mandates, cautionary discretionary spending and financial weakness of retail partners. As the pandemic progressed, the shift towards e-commerce led to unprecedented volumes and order activity for PFSW's online brand building capabilities and fulfillment services. While the business was actually improving, the company's stock price didn't reflect these tailwinds, particularly when the business was evaluated on a stand-alone basis when each business was valued on a stand-alone basis. PFS's board and management began to take public steps towards separating the businesses from financial, personal and reporting perspectives. It became clear to us that PFSW was another TST or The Street. And that the company had 2 distinctly separate businesses that did not belong in 1 small publicly traded company. Clearly, we like these types of some of the parts plays. As long as the management team and Board agree, it is time to break them up and sell the businesses. For PFSW and similar to TST, it was clear that everyone was on the same page. Our team's diligence led us to believe that on a stand-alone basis, the valuation of LiveArea segment could be between 1.8 and 2.5 enterprise value to sales, and the PFS Operations segment was roughly 8 times to 12 times EBITDA sales. Using an estimated multiple of revenue of 1.8 or the low end of the range for the LiveArea business, we believe it could be valued at between 6 and 660 based on the 2020 actual and 2021 estimated revenue, respectively. Using an estimated multiple EBITDA on the low end again of 8x for the PFS operations business. We believe it could be valued at somewhere around $4.60 to $5. 30 per share based on, again, 2020 actual and 2021 estimated EBITDA, respectively. The sum of the parts analysis yielded our estimated value, PFSW on a combined basis of around $10.6 0 to $11.90 per share. On July 6, 2021, PFW announced the sale of its LiveArea business to Merkle for $250 million, which equates to 3x 2020 revenue and 2. 7x 2021 estimated revenue. The company estimates the net proceeds from this transaction will be approximately $185 million to $200 million or $8.22 to $8.88 per share. This transaction increased our estimated value of PFSW to around $13 to $14 a share when using the low end of our estimated multiple of the EBITDA range for the remaining business. Our cost basis is approximately $7.13 per share. We note that we owned approximately 105 million shares of -- 105, 000 shares of PFSW as of the end of Q1. And but we chose not to disclose the investment as we were in the process of building our position. We ended Q2 with approximately 530,000 shares of PFSW. Please turn to Slide 20. Synchronoss Technologies, as Kevin mentioned earlier, is a provider of software platforms and solutions that aim to drive revenue growth and consumer engagement for global network operators, particularly currently in the telecom industry. Synchronous or SMCR classifies its offerings into 3 main business segments: Cloud, which is a private label personal cloud storage business. Messaging, comprising white label e-mail offerings and RCS advanced machine platform. And digital, a suite of products for carriers that include wireless customer activation services and network management platform. In early 2017, Synchronoss acquired a company called Intralinks Holdings to broaden the company's product offering into enterprise data collaboration, while simultaneously divesting a large portion of its carrier activation business. The transaction resulted in Synchronoss falling behind on reporting requirements, triggering debt default by -- and in Q1 2017. To solve this issue, SNCR ultimately sold Intralinks to a group called Sirius Capital Group and issued $185 million of convertible preferred security that had an interest rate of 14.5% Cerus Capital in conjunction with the deal. In -- since 2017, the interest on this preferred security was being paid in kind or picked, which drove the principal plus interest balance to over $270 million. Cerus is another name that we've been following for some time. The problem for us to make it a core position, similar again to PST, was that the continuously growing preferred security may become be difficult to invest in? We began working with management to brainstorm on ways to remove this overhang and ultimately introduce the company to our friends at B. Riley Financial. On June 30 of this year, SNCR closed a 3-part financing deal led in backstop by B. Riley. The deal involved a $100 million common equity offering, a $125 million senior note offering and $75 million preferred offering with the proceeds being used to fully redeem the outstanding preferred stock called by Cerus. 180 Degree invests approximately $10 million from our balance sheet and our separate managed account in aggregate and the common stock portion of this financing at $2.60 a share. With the close of this recapitalization, SNCR is now free to explore strategic options for its business. We believe the first step on this path is to monetize its messaging business and use the proceeds to pay off the preferred security issue to B. Reilly. Once complete, the balance sheet would be drastically improved, and the business would become a cloud services business focused on primarily on the fast-growing segment of cloud data storage. These types of businesses have sticky recurring revenue streams, and we believe that they trade at significantly higher multiples than where SNCR trades today and our average cost basis of $2.74 a share. Please turn to Slide 21. We -- This slide lists our 10 largest legacy privately held holdings by value as of the end of the quarter. As Kevin mentioned, for the quarter, our private portfolio decreased in value by approximately $2 million or $0. 19 a share. The largest decreases were Hale and AgBiome. During the quarter, I'll also note that we had 1 of our smaller positions, Lodo Therapeutics Corporation, was acquired by Zymergen in an all-stock transaction. Shortly after the quarter, the company in which Black Silicon Holdings had a profits interest in, has agreed to be sold, and we currently anticipate this transaction will close before the end of Q3 2021. We will receive approximately $1 million from this transaction. In almost every shareholder letter, we state while we desire to shepherd our existing privately held portfolio to exits or explore opportunities to sell our positions in those companies, we have the luxury being able to sell our private holdings when we believe it makes sense for shareholders rather than being forced to survive. The remaking of our business and the significant cash and securities of portfolio companies that we've built means we don't have to sell anything unless we feel it is the right thing to do for shareholders. As we said -- as we continue to say, we can tell you that we have rejected numerous bids, and we continue to do so from the -- for the private portfolio from Sharks, thinking they can come in and steal it from us. That will never happen under our watch. I can't emphasize enough the difference between having to sell and wanting to sell. Given our success in remaking our balance sheet, we don't have to sell any of our holdings, and we won't unless the price makes sense. Since the start of turn in the beginning of '17, our private portfolio has reduced NAV by $0.91 a share, while our public while our public investment strategy has increased now by $6.43 per share. In 2016, we had holdings in 32 private companies. Today, we have 19 but only 10 that really matter. Those 10 private holdings comprise 93% of all of the private assets. Our hope is the ones we still own have limited downside and decent upside. Please turn to Slide 22. As we have noted in previous letters, we have dramatically reduced our cost structure and our new strategy. In 2016 before our change in investment focus and management team, our operating expenses, excluding stock-based compensation and interest on outstanding debt, averaged approximately $1.3 million a quarter. For Q2 2021, our operating expenses, excluding accruals for potential bonuses equaled approximately $780,000. Given our persistent and outsized performance, the Compensation Committee approved an additional accrual of approximately $793,000 in the quarter for a potential bonus pool at the end of this year. It should be noted that the pool amount will fluctuate on our -- based on our compensation committee's assessment of corporate and individual performance over the rest of 2021. Please turn to Slide 23 and 24. We continue to anticipate the reductions in our operating expenses as a percentage of net assets will be based on growth in our net assets rather than further reductions in our expenses. We remain committed to treating every dollar of shareholder money with the utmost care and consideration. As we continue and always will say, it is much easier for us to grow NAV where this expense loader rate is today. I will now turn the call back over to Kevin.
Kevin Rendino: Thanks, Daniel. As you can see from our sum of the parts chart, our stock price trades right in line with our public holdings. At the end of the day, the floor of our share price has risen as we've gone from $2 a share in cash and liquid securities to well into the $7 range that should provide a floor for our share price. A few words about the current environment, which you can read from the letter we posted on our website. While valuations are low, there are a number of issues that are plaguing our role in the short term. High raw material prices, inflation seems to be everywhere and significant supply chain issues. Simply put, the market is cheered vaccinations in the hopeful end of the pandemic with a straight line up stock market. That said, the global economy is struggling to reopen at the pace that the market expects. Part of that is because of the new Delta variant. Part of that is because vaccination rates are not where they want them to be in our country. And clearly, the rest of the globe doesn't have vaccination levels anywhere near ours. We all watch the Olympics. There were no fans because Japan has stay at home orders. It is going to take a couple of quarters for some of these supply chain issues to normalize. Part of the problem for us is while we invest in U.S. domestic companies, many of them source their raw materials from Asia. And much of that region is months behind the United States in reopening. This doesn't cause us to lose faith in the recovery over the next few years. But in listening to our holdings, whether it's Armstrong Flooring or Quantum just 2 days ago, we're feeling some of the short-term pain. Again, stocks are reasonably priced and many of the names that are being currently affected, we think, have 100% upside over the next several years. So we'll use this opportunity to add to the names that we feel best about over the next few years. I'm sure you feel the same way the pandemic has been exhausting. While I want to say it's over, there are clear lingering factors stunting short-term growth. We're hopeful the next 5 years will be as good for our shareholders as the last 4.5 years. We think we have a bright future ahead, brighter than it's ever been because of the health of our balance sheet. We just need to keep finding winners, and we will win. On the private side, as Daniel mentioned, we've said countless times this year, as you know, that we expect monetizations. We've gotten a couple, although, small here in the first half of the year. And I'd be very disappointed that in the next 6 months, we don't hear some news of potential monetizations from a more significant portion of the private portfolio. That's not a promise nor a prediction but that is our expectation here that we'll get some better news here in the months ahead. With that, Daniel, why don't we open it up and take some questions.
Daniel Wolfe: Sounds good.  Our first question comes from Adam Waldo. Adam Please go ahead.
Adam Waldo: Thank you very much for your comprehensive reporting package as always, and nice job in the second quarter on the public side, given this morning, a lot of the microcap names in which you invest. A couple of questions, 2 categories in which I'd like to explore. One is third-party asset growth initiatives and second is the questions about a couple of your holdings. On the third-party asset growth side, Kevin, in the first quarter call, you commented about both the progress of, what I'll call, institutional separately managed accounts initiatives and kind of opportunities and challenges of that. But also about some work we're doing to offer products on a broker-dealers platform. Are there any updates that you can offer on either of those initiatives?
Kevin Rendino: No. We continue -- and good to hear from you, Adam, as always. We continue to pursue strategies in which it makes economic sense for us to go out and find outside assets to manage. We want to do so in a way that makes economic sense because it's not permanent capital and because we don't own 100% of the asset. The economics around managing that money just have to be attractive for us. So we've had a number of conversations where we've been turned down because of the structure that we have. A lot of people say to say lot of people say ourselves -- say to us, we really want to give you money, but we don't really understand what public company is or these private companies, and we want you spending 100% on this, and they've used that as an excuse. There's been other times where we rejected outside capital because the economics doesn't make sense. There's nothing to report now, other than I want to make sure that everyone understands. The estimate that we have is now ballooned to over $40 million. The carry that we've been able to generate this year, Adam, is literally 85%, if the year ended in June, which we know it doesn't. But if the year ended in June, the carry that we had would have offset 85% of our normal operating expenses. So we basically, this year, have reduced the burn to almost 0. We'll continue to pursue opportunities like that. We're shifting our focus a little bit in terms of who we want to deal with. I'm not at liberty to talk about sort of a partnership that we're debating signing here in the next few days or weeks ahead. Maybe we'll have a little bit more on that, Adam, in the third quarter. But rest assured, when we have something to say that's concrete you know us, we'll be transparent reported immediately. So we keep working at it. The good news is, we have $80 million of private -- of permanent capital, that's the best kind of capital you can have -- We've got $40 million plus in our SMA at very good economics and a really, really good partnership there, and we'll pursue others as time goes on. I know you want to ask about a couple of holdings.
Adam Waldo: On a couple of holdings, obviously, a slight markdown on AgBiome, the really dominant private holding. But a lot of good progress going on in the company, at least based on what I can see in the public domain. Public sources like Crunchbase don't show anything new in terms of financing that I could pick up since the 2018 Series C round. So can you -- is there anything more you can say about what caused the adjustment in the carrying value this quarter? Was there some small new financing that's just not in the public domain? Or was it an adjustment to the Series C round from 2018? Anything you could say on that?
Kevin Rendino: Yes. Daniel, why don't you take that?
Daniel Wolfe: Yes. So I can't really go into details on it because we're we're restricted, obviously, based on what is public. All I can say is that AgBiome continues to make progress in their business. We're encouraged by the opportunity into the future and that we'll be able to provide additional color around that probably next quarter would be my guess.
Kevin Rendino: Adam, I just want to say, when companies do financings because of the options pricing methodology, sometimes the liquidation, the stack changes, the capitalization changes. There's nothing negative with regards to the business. But sometimes valuations change based on our option pricing methodology when indeed when the financing is either done or taking place. I guess that's the best that we can say now, and hopefully, we'll have more next quarter.
Adam Waldo: So just so I'm really clear on that. Is this arising from a new financing? Or is it arising from a prior financing and changes in the valuation and preferences of the various securities and the capital stack?
Daniel Wolfe: I think I would think of it as, as I think Kevin described, it's -- think of there's been a change in how the liquidation stack is reflected within the option pricing methodology and that's what led to the majority of the change.
Adam Waldo: Okay. So it's not a new capital raise that closed recently. Is that fair?
Kevin Rendino: There's only so many ways that...
Adam Waldo: Only so much you can. Yes, okay. I'm sorry.
Kevin Rendino: Sorry, I can't reveal. We're looking to not get ourselves in trouble, okay?
Adam Waldo: Fair enough. On the public side.
Kevin Rendino: You're looking at the right -- you're researching the right places to find out when there are new financings. And so when there is one, you'll know what -- you'll see it because you know where to look.
Adam Waldo: And then on the public side, obviously, some really great results with PFS Web that we didn't even see really as a meaningful position last quarter. So great call there. And obviously, it's been great, again, here in the third quarter. But you've gotten the point where you have 3 or 4 holdings now that are about 10% of the public portfolio or more? Was that decision just because of degree of conviction you have in those individual securities? Or how -- I guess how are you thinking about sort of portfolio sizing -- pardon me, position sizing parameters at this point?
Kevin Rendino: So one of the things we talked about in detail in the shareholder call. And I -- so many people model our -- try and model our performance and try and figure out where our antibody is going to be and they do the best they can. They take our year -- quarter end share count and the positions that we talked about. They assume we just have the same share count throughout the quarter and then they, obviously, -- there's a change in the stock price, and they try and get at what our -- what an expectation would be for our public based on that. What people don't know, and what we talked about in our shareholder letter and specifics is sometimes we have positions that we don't disclose and PFS Web was 1 of them because we were building the position. Sometimes you don't know what we're doing within the context of the quarter itself and Armstrong Flooring was a perfect example of that. We bought a bunch of stock below 5, it rose to basically 6 and change. It came back to about 5.50. We became worried about it. We sold half of our position and now the stock is 4. That's not captured if you just look at where we are at the end of 1 quarter and trying to straight line it to the next. So in general, if you look at our performance based. If we went on vacation, basically and did nothing, our public portfolio performance last quarter would have been up less than 1%. And -- But given all the changes we made, Synchronoss, which people didn't know about, PFS Web, which people didn't know about; Armstrong flooring changes, some Alta sales. We were able to generate a return that was 5.9% or 6.8% if you include the SMA. So we try and do our best. We're always managing for the long term. But as you know, the long term is made up as a series of short terms. And we're going to take advantage of market volatility when we see it and when we think there's an opportunity. As it relates to position sizing, trust me, if we have a 10% position, something, it means we like it at last sale. If we didn't like in the case of Armstrong Flooring, which was at 1 point a 10% holding for us. We literally cut the position back in half overnight because we were worried about supply chain issues. But if Quantum, which is pulled back here recently, recently and then again yesterday, it was a crazy day for the stock yesterday, that's a position that we actually feel really, really good about in the next 3 years. The position size was a little less than where we would like it, and that's a position that will easily take back up to 10% or more, if we have the conviction that the stock can double again, and we think the stock will double again. So yes, 10% for us is a position size where we really have good conviction in the name. We only want to all new member, 7 to 10 names in general. That usually means that if we're going to have 10, and we love them all, they should all be 10% positions, right? If we have no cash. So that's kind of the way we think about position sizing. When we start something, it will never be less than 1 or 2 or 3. That's just not what we do. That's a -- we're running a concentrated portfolio. When I ran the basic value fund at BlackRock, we had 80 names and 3% to 5% was the high end of where we are. And now that's the low end of where we want to be for any physician. Long answer.
Adam Waldo: Thanks for the update and continued success for the balance of the year.
Operator: Our next question -- Go ahead, Sam.
Unidentified Analyst: Yes. Kevin and Dan, you've done well and your approach is very good. Do you have any thoughts on the SEC Rule 15C2-1 where all these companies that don't provide information are restricted from being bought by the public, they -- does that give you an opportunity with these type of situations? And what's your thoughts there?
Kevin Rendino: Number one, Sam, it's always good to hear you -- from you. We haven't heard from me in a couple of quarters. So glad to hear from you. I am not the SEC spokesperson for 180. So Dan, I don't have any value add on that one, Daniel, I don't know if you do? I don't.
Daniel Wolfe: So the only thing I would say is, Sam, we're always looking and again, also reiterating Kevin's statements, I was getting your voice. We're always looking for inefficiencies. We're always looking for, especially information and efficiencies, but also inefficiencies where there's an opportunity for shareholders to buy -- for investors to buy in at 1 point where they're not able to on another point. And so yes, I mean if you look at Quantum, for example, when we first invested in it, it was a delisted OTC traded company that was trading below $300 million market cap, and there's a number of brokerage houses out there that will not allow investors to actually buy retail investors or actually any investors on their platform to buy into those names. So -- but we are able to do so. So we're always looking for interesting opportunities, and that's another set and another place that we can look at.
Unidentified Analyst: Well, I think I sort of agree with you, Dan, I think this will be more opportunities where the market will become more inefficient and we'll see what happens. inefficient and we'll see what happens. But as far as the SPAC, did you indicate that you're doing the SPAC? I didn't understand that.
Daniel Wolfe: Yes. So what -- yes, what we can say is that we have agreed to -- and this is in our SEC filings as well that we have agreed to be to join a sponsor group of a SPAC, and it will -- we've said that we would commit up to $2.7 million into that effort. I can't really go into more detail or more discussion on it because they are in the registration process. But you can look at our SEC filings and other filings related to SPAC and and get more information on it. And we'll be able to talk more about the SPAC efforts into the future.
Unidentified Analyst: Both. You're doing a great job, and it's -- this was 180 Degree was substantially inefficient, and it's becoming more and more efficient. So good luck.
Kevin Rendino: Thanks, Sam. I just mentioned 2 things about the SPACs. We are not -- we do not have a skill set to source private companies. But what we do have a skill set is evaluating the finances around a private company and supporting management teams that know how to do this. So it's not that Daniel and I are going to scour the world and try and find some private companies to turn into a SPAC. We're going to focus our time and effort, first of all, on smaller companies and many of these SPACs are not billion dollar SPACs. We're focused on the same asset size company of the companies that we're investing in on the public side. And then we're going to focus our attention on ensuring that the management teams that are sourcing their names are finding names that are investable and could be a good public company. So it's a good place for us to put some of our assets, and we can talk about it as time goes on. But as I said it to Adam earlier on, if we love something, we'll have a 10% position in it. The commitment that we've made to fund the first SPAC that we're going to be a sponsor of is basically about 3% of the assets. It's not a significant number. Now it can grow, and that's the beauty of the economics of the SPAC. But at the starting point, we're talking about $2.7 million. We just put $10 million into Synchronoss. So you could think about it from a sizing perspective, as you analyze $2.7 million versus 10% you can see where most of our energy is still focused.
Unidentified Analyst: Well, Kevin, this is very good and keep up the good work.
Kevin Rendino: Thanks, Sam.
Kevin Rendino: It depends on at the end.
Operator: Robert, please go ahead.
Unidentified Analyst: You have some small companies, and one of them is Maven I was notified by my brokerage house, the effective Monday, TD Ameritrade that I would not be able to buy any more securities in that stock. And previously, fidelity restricted us on that. They've had trouble with their finances. They got 230 million shares. And it's nice to hear that you guys can buy some of that stock, but the average investor can't and will be -- and we'll be in a position that they can only sell it. And I'm really worried that the stocks will drop unless you can get that company back on the SEC trail so that they will take it off the restricted list. I mean how are you going to get these stocks off the restricted list when you have 230 million shares and their financials are not up to date. I know you guys have restricted stock, but I'll give you one example of what I'm really worried about coming out with some of these stocks that could be highly with 
Kevin Rendino: Thank you for the question. So here's what we'll say about the Maven and you can read about it in our shareholder letter. The company had made a number of acquisitions over the last few years. The Street is one, Sports Illustrated and History, Biography, Maxim, they are delinquent in their results. They've been delinquent in their results, trying to assimilate all these acquisitions. The good news is, they are basically on the verge of being current this quarter with an eye towards an uplift in either late this quarter or probably more in the back half of the year. So this will go from a pink sheeted stock to a listed stock on, I don't know if it's going to be the NASDAQ or the New York, but I don't know if you have any color there, but they're going through that process now, and we're not going to have to wait a year for you to be able to transact in the stock. It's basically a couple of months out, finally, for this company to actually do an uplift. Dan, I don't know if there's anything else you want to add?
Daniel Wolfe: No. I think the -- and I think the plan is to list on NASDAQ, but nowadays it doesn't matter which exchange you're on. It just depends on how much you want to pay and exchange fees. But for these guys, Kevin summarized, and I think the other aspect is as -- look, we obviously -- when we invest in, we hoped and expected that they would be current faster. It has taken longer because of the issues that Kevin had mentioned. They are continuing down that path. Near-term issues in stock price and selling. I mean there's -- although there's 230 million shares outstanding, only 40 million of those are actually tradable. And -- but that's even more detail. I think the way to think about Maven is there's the expectation is that in the coming quarters, this will become a traditional listed up-to-date company which similar to all of our other holdings. And we think that, that sort of coming out party, there's opportunities for additional value creation and recognition. So yes, I mean I think that's what we can -- that's what we know right now. We're not over the wall with Maven on purpose. And so I think that's what we know at the moment.
Unidentified Analyst: What is our current position in Maven and how many of those shares are restricted? And how are you guys able to get around that inability to purchase stock on Maven. Because I think Maven could drop quite a bit and it fluctuates quite a bit. It goes $0.50 to $0. 75.
Kevin Rendino: It's not a real threat to stock. It might as well just be private. The way we were able to initiate positions where when the company was raising capital and basically, we did a pipe transaction, 2 of them actually, which is what we've done in other -- we did that in The Street. We did that in other names as well. Turtle Beach, if you remember correctly, that then. But you can look at it right now and say, well, $0.62, it's down $0.08. It's probably trade 100 shares. It's not a real -- it might as well just be private right now. And it's not going to have any sort of volume. It's not going to trade like a regular stock until they actually do the uplift. It's traded 330 shares today. So I agree with you with it -- I guess it could drop if somebody decides they want to be out of 20,000 shares tomorrow. You have to find 20,000 shares of a pink sheeted stock to buy. So this is all on the common. This is in the next couple of months. Hopefully, you'll get an uplift and get real -- you'll get some real volume and you'll have the ability to transact. Now you don't.
Unidentified Analyst: What can we do to make them move a little quicker because frames involved in that company and some capacity?
Kevin Rendino: There's nothing you can do. There's nothing. I just -- we just explained to you the path in which you can't force the SEC to do anything. They've got to get their numbers current, which -- as I said, they're as I said, they're and then they're going to do an uplift, that's the path. There's no -- you can't yell at them to come public. It doesn't work that way. They've got to go through their auditors have to sign off on all their numbers, which they're currently doing and then they have to apply for registration to become a listed stock on the NASDAQ or the New York and then they can do the uplift.
Unidentified Analyst: Okay. Do we have other companies on that list also?
Kevin Rendino: Does 180? No.
Unidentified Analyst: Yes.
Daniel Wolfe: No. All of our other holdings at the moment are all current and for the most part, fairly tradable.
Unidentified Analyst: Okay. Keep up the good work, fellas.
Daniel Wolfe: Thank you very much. I do not have any further questions in the queue.
Kevin Rendino: Thanks, Daniel. It's been a very, very good year, obviously, up over 40% through the June quarter. I would say the current environment is a little more choppy. You saw that in Quantum yesterday, the supply chain issues need to fix themselves in order for the market to have sort of what we hope to be the second leg of growth. The good news is for us, we found some names. These valuations are fairly inexpensive. So we've targeted Armstrong as a double-digit stock. We think Quantum is a double-digit stock and many of them have pulled back in the short term because of some of the supply chain issues. So we'll use the current environment to take our positions back up in the things that we feel the strongest about. And obviously, portfolio transition out of some of the names that we don't feel is good about. As always, we thank you for your time and consideration, and we look forward to reporting our Q3 results and in 3 months. So happy investing and hope everyone has a good rest of the summer.
Daniel Wolfe: Thank you, everyone. You can now disconnect
Operator: Goodbye.